Operator: Greetings and welcome to the Newpark Resources First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded.  It is now my pleasure to introduce your host, Ken Dennard with Dennard Lascar, Investor Relations. Thank you, Ken. You may begin. 
Ken Dennard: Thank you, operator and good morning, everyone. We appreciate you joining us for the Newpark Resources conference call and webcast to review first quarter 2022 results. Participating from the company in today's call are Matthew Lanigan, Newpark's President and Chief Executive Officer; and Gregg Piontek, Chief Financial Officer. Following my remarks, management will provide a high-level commentary on the financial details of the first quarter results and near-term outlook before opening the call for Q&A. Before I turn the call over to management, I have a few housekeeping items to cover. There will be a replay of today's call it will be available via webcast on the company's website at newpark.com. There will also be a recorded replay telephonically until May 18, 2022, and that information on how to access is in yesterday's press release. Please note that the information reported on this call speaks only as of today, May 4, 2022, and therefore you are advised that time sensitive information may no longer be accurate as of the time of any replay listening or transcript reading. In addition, the comments made by management during this conference call may contain forward-looking statements within the meaning of the United States federal securities laws. These forward-looking statements reflect the current views of Newpark's management; however, various risks, uncertainties and contingencies could cause Newpark's actual results, performance or achievements to differ materially from those expressed in the statements made by management. The listener is encouraged to read the annual report on Form 10-K, quarterly reports on Form 10-Q and current reports on Form 8-K to understand certain of those risks, uncertainties and contingencies. The comments made today may also include certain non-GAAP financial measures. Additional details and reconciliation to the most directly comparable GAAP financial measures are included in the quarterly press release, which can be found on Newpark's website.  And now with that behind me, I'd like to turn the call over to Newpark's President and CEO, Mr. Matthew Lanigan. Matthew?
Matthew Lanigan: Good morning, everyone. We are very encouraged by our performance in the first quarter, which reflects improving market rentals across both of our business segments, as well as the impact from our continued execution on our key strategic priorities. In our Industrial Solutions business, the rental and service market continues to strengthen as we posted another quarter of double-digit sequential and year-over-year growth in our targeted non-oilfield markets. This strong start to the year positions us well to build upon the 10% cumulative annual growth rate we've delivered since 2018, reflecting our customers' acknowledgment of our unique product and service offering in the multi-billion dollar access market. With respect to product sales, despite the expected pull back in Q1 volumes and the shift of some sales into Q2, inquiry activity remains robust, as we look to build upon the record levels of revenues achieved in 2021. As we highlighted in the past, the energy transition is expected to require significant investment to upgrade the aging power transmission network and connect renewable generation sources to the grid. This demand underpins utility industry projections of more than $25 billion of annual capital investment in the coming years, roughly 10% of which reflects the size and access component providing meaningful addressable market scale and demand for our products and services.  In our Fluids business, the appalling events unfolding in the Ukraine are driving a significant shift in the geopolitical landscape, highlighting the importance of energy security in both North America and Europe. In the wake of recent events, we are seeing a renewed desire within several markets to increase activity levels, to help ensure reliable energy supply in the coming years, as they bridge to renewable sources over the longer term. While customers in these markets are in the early stages of evaluating their plans, we are seeing an uptick in communication and planning, as we look to the second half of 2022 and beyond.  In the U.S., the combination of geopolitics and the strong oil and natural gas prices are providing a more robust outlook. So we continue to expect operators to maintain that capital discipline, which we believe will moderate the activity levels. More importantly, we expect the discipline will help dampen the volatility of the U.S. markets, which has historically been a significant challenge to the financial returns of our U.S. Fluids business. As the market strengthens, the supply chain remains the key near term concern, which was further complicated in the first quarter by the COVID outbreak in China, as well as the conflict in Ukraine.  We are experiencing unprecedented cost inflation for many hydrocarbon based products and chemicals and in many cases also facing extended lead times. We are encouraged by the meaningful pricing progress with many of our customers to mitigate the inflationary pressures, particularly in North America, though we are facing challenges with a subset of our long-term customer contracts in the EMEA region that include fixed pricing. This has caused modest margin compression to the Fluids segment in the quarter.  In addition to the improving market fundamentals, I'm pleased with our execution supporting our key strategic priorities discussed last quarter. More specifically, we are advancing the process to explore the divestiture of our U.S. mineral grinding business, which is another meaningful step to transform our Fluids business to a capital light model, capable of generating consistent cash across commodity cycles. We have engaged PPHB to lead this process and have been pleased with the level of inbound interest. We have also been pleased with the level of inquiries for our Conroe blending facility and anticipate that these efforts will be completed in the second half of the year.  Between these two operations, we have approximately $70 million of net capital employed, reflecting roughly 20% of Newpark's current market capitalization. These divestitures will provide meaningful opportunity for cash generation to reduce our debt levels and return value to shareholders through the repurchase of shares, while also accelerating investment in higher returning growth opportunities. We also continue to progress our efforts in Saudi Arabia to contribute our existing in country business to establish a joint venture company with TAQA's as previously announced. We anticipate completing the joint venture arrangement in the second half of the year.  And finally, I'd like to highlight that we recently completed an amendment to our U.S. asset based loan facility with our bank group including Bank of America, JPMorgan and First Horizon Bank. The amendment extends our facility until 2027 and provides additional liquidity to support the execution of our portfolio transformation efforts highlighting our bank groups confidence in our strategy.  With that, I'd like to turn my attention to the first quarter results. Consolidated revenues decreased 2% sequentially to $176 million in the first quarter, as the anticipated pullback in Industrial Solutions direct sales were substantially offset by broad-based growth in the Fluids Systems business and our expanding rental and service presence in the power and transmission sector.  Reported EBITDA for the first quarter was $11.4 million, including $11.2 million contribution from Industrial Solutions and a $7.4 million contribution from Fluid systems. I'm particularly pleased with our ongoing focus on operating cost and balance sheet discipline. With the benefits of our cost reduction initiatives assisted our Fluids business in achieving its second consecutive quarter of segment operating profit despite facing meaningful supply chain related cost pressures. We've made solid progress in the first quarter and expect to build upon that momentum in the second quarter and beyond.  And now I'll hand the call over to Gregg to discuss in more detail the financials for the first quarter. Gregg?
Gregg Piontek: Thanks, Matthew and good morning, everyone. I'll begin by covering the specifics of the segment and consolidated financial results for the quarter, before providing an update on our near-term outlook. Our Industrial Solutions segment posted first quarter revenues of $35 million and operating income of $5.5 million, which includes a $900,000 operating loss from the wind down of our industrial blending operations. The shifting of some Q1 direct sales orders into April pushed first quarter revenue and operating income results for the segment toward the lower end of the range discussed on our February call.  Total direct sales came in at $4 million for the first quarter, reflecting an $18 million sequential decline from the seasonally strong fourth quarter. Rental and service revenues improved 8% sequentially to $31 million in line with our expectations, particularly noteworthy R&S revenues from power transmission and other industrial markets increased by 17% sequentially benefiting from the December acquisition, which expanded our presence in the Northeast as well as the ramp up of large scale projects in the South. Revenues from E&P customers declined modestly as we focused our assets and resources to supporting the industrial market opportunities.  Comparing to the first quarter of last year, rental and service revenues increased $2 million or 8% while direct sales activity declined by $16 million, as Q1 of last year benefited from pent-up demand following COVID related shutdowns in 2020. Our Industrial Blending operation, which was shut down in Q1 of 2022 contributed $5 million of revenues in Q1 of last year. Operating income for the Industrial Solutions segment declined by $8 million a year-over-year, primarily driven by the impact of the $18 million revenue decline, along with the previously discussed pricing mix associated with large scale projects and the first quarter 2022 loss attributable to the wind down of the Industrial Blending operation. Turning to Fluid Systems. Total segment revenues improved 10% sequentially to $141 million in the first quarter meaningfully outpacing our expectations and reflecting broad based improvements in North America and EMEA customer activity. Revenues from U.S. land, which includes $14 million of third-party revenues from our mineral grinding business increased 10% sequentially to $68 million relatively in line with the 13% improvement in market rig counts. In the Gulf of Mexico, continued delays in customer activities weighed further on revenues contributing only $3 million in the first quarter. Though, it's worth noting that activity in Q2 is ramping up on two deepwater drill ships.  In Canada, revenues increased 34% sequentially to $22 million in the first quarter. Once again, outpacing the 24% market rig count improvement and reflecting our strongest quarter in four years. Outside of North America, revenues improved 6% sequentially to $48 million in the first quarter with operations in Europe and the resumption of activity in the Congo being the primary driver of the growth, benefiting from the $13 million increase in revenues Fluids Systems' operating income increased by $2.4 million sequentially, which after consideration of $900,000 of restructuring charges in the prior quarter reflects an incremental margin of 12%. The low incremental margin is primarily attributable to the raw material cost inflation being absorbed on certain long-term international contracts where customer pricing is fixed.  On a year-over-year basis, our Fluids Systems revenues increased $53 million or 61%. North America land revenues improved by $38 million or 73% benefiting from the recovery in market rig count, while Gulf of Mexico declined by $5 million. International revenues improved $20 million or 74% benefiting from broad-based improvements in customer activity across most, EMEA and Asia-Pacific markets.  Corporate office expenses were $7.9 million in the first quarter, which included $700,000 of legal and professional expenses associated with shareholder acquisition and divestiture matters. The $1.5 million sequential decline is primarily attributable to elevated Q4 incentive expenses as discussed last quarter. On a year-over-year basis, corporate office expense increased $2.1 million, which includes a $1.2 million increase in legal and professional spending and an $800,000 increase in personnel expense.  SG&A costs, which include corporate office expenses were $24 million in the first quarter, reflecting a $2.2 million decrease from prior quarter and a $3.5 million increase year-over-year, primarily reflecting the corporate office expense changes. Interest expense declined by 41% to $1.2 million in the first quarter, following the maturity of our convertible bond in December. Our weighted average cash borrowing rate on outstanding debt was approximately 2.3% as of the end of the first quarter. The first quarter tax provision reflected a $3 million benefit substantially, all of which is related to the legal entity restructuring as described in yesterday's press release. Turning to first quarter cash flow. Net cash provided by operating activities was $3 million, which included a $5 million use of cash for working capital. Activity driven increases in inventories used $15 million of cash including International Fluids Systems purchases in preparation for project scheduled to begin in the second quarter, as well as the delayed timing of Industrial Solutions product sales. Inventories were further impacted by cost inflation and elevated contingency stocks being carried in response to the ongoing supply chain uncertainty. As anticipated, receivables provided a tailwind to cash flow generation in the quarter, primarily through improved DSOs, with the benefit largely offset by the impacts of the $13 million sequential increase in Fluid Systems revenue. Investing activities used net cash of $7 million in the first quarter, of which $6 million was deployed into the industrial business. We ended the quarter with a total debt balance of $116 million, including $88 million outstanding on our U.S. asset based loan facility and a net debt balance of $95 million.  As Matthew touched on, we recently executed an amendment to our ABL facility, which provided several meaningful enhancements to support our strategic growth including expanding our borrowing capacity and providing additional liquidity to support our growth initiatives, preserving attractive borrowing rates with a pricing grid set at BSB, plus 150 basis points to 200 basis points, extending the facility to May 2027 and incorporating a sustainability linked framework, which is well aligned with our business model and strategy. Now turning to our near-term outlook. As we look ahead, although, we continue to manage the near-term supply chain challenges and inflationary pressures, we remain encouraged by the improving outlook for 2022 and the strength of our longer-term fundamentals across all major energy sectors. In the Industrial Solutions segment, we are encouraged by the growing opportunity pipeline, particularly as we expand our geographic coverage in the T&D sector.  Our outlook for Q2 has strengthened modestly from our February call commentary, primarily reflecting the timing of direct sales activity. More specifically, we expect a strong improvement in Q2 with direct sales revenues likely returning to the mid-teens. We also expect to see roughly 10% sequential growth in rental and service revenues in Q2, bringing our rental and service revenues to their highest levels since mid-2019. And while revenues are expected to approach mid ‘19 levels, it is important to highlight the shift in industry mix since that time, with our historical E&P customer base declining significantly, while our power transmission and industrial markets have grown by nearly 50% since this time. Overall, with the stronger product sales activity and the steady growth in rental and service revenues, we anticipate segment revenues of roughly $50 million in Q2, which should improve operating margin to the low to mid-20s range, prior to consideration of expenses or impairments associated with our exit and disposition of the Conroe facility and related assets. In Fluids Systems, the longer-term outlook continues to strengthen, particularly in light of the impact of global geopolitical events, which are driving many countries to reevaluate their energy dependencies. As we look ahead to Q2 despite the typical seasonality in Canada and the margin compression caused by raw material cost inflation, we expect fluid systems to remain profitable in Q2, benefiting from the improving dynamics in the U.S. More specifically, we anticipate Canada will have a typical seasonal impact of spring break-up in Q2 and pull back by roughly $15 million, largely offset by an expected increase in the U.S., following the start-up activity on two deepwater drill ships with Shell in the Gulf of Mexico and continued strengthening in U.S. land. Internationally, we expect revenues will also remain relatively stable in the near term. Overall, we expect Fluids Systems revenues to pull back slightly while operating margin should stay in the low-single digits, reflective of the revenue level and inflationary headwind. Regarding corporate office expenses, we expect second quarter spending to decline to roughly $7 million as we maintain our focus on streamlining our cost structure for the evolving business. Regarding interest and taxes, we expect interest expense will trend modestly higher in the near term. As a result of increases in benchmark borrowing rates while the tax rate will likely remain in the upper 20s range for the remainder of 2022.  For CapEx, we continue to anticipate gross expenditures in the $20 million to $25 million range for 2022, with more than 80% directed to the Industrial Solutions business. Quarterly investment levels will remain heavily dependent upon revenue driven opportunities as we expand the mat rental fleet to support our T&D and industrial market penetration. Capital investments in the Fluids business are expected to remain fairly limited, consistent with our capital-light model. In terms of free cash flow, while the start of the year has been impacted by working capital needs to support the timing of project start-ups and navigate the challenging supply chain environment, we expect the ongoing improvements in operating performance to generate solid free cash flow for the full year with the quarterly contribution is heavily weighted to the second half of the year.  And with that, I'd like to turn the call back over to Matthew for his concluding remarks. 
Matthew Lanigan: Thanks, Greg. As we framed up, we are pleased with our progress in Q1 and anticipate another step forward in Q2, including improved EBITDA and cash generation, as we continue to execute on our transformation plans and build upon our profitability. But despite the solid progress made, we recognize that remains more to be done. As I reflect on our progress in the Fluids business, I don't want to understate the importance of the accomplishments of our team.  Over the past two years, we have taken significant actions to reshape this business while also enhancing our position as a recognized leader in fluids globally. Our service quality and commitment to environmentally responsible products continues to differentiate us, as we posted six consecutive quarters of double-digit revenue growth. Looking ahead, we remain committed to transforming this business into a capital-light model capable of generating consistent cash flow through cycle.  At the same time, we will continue to evaluate the financial return profile of our portfolio and take necessary actions to strengthen our Fluids business and enhance value for our employees and shareholders. Meanwhile, our Industrial Solutions segment has been the primary driver of historical Newpark cash generation, including $60 million of EBITDA in 2021. In addition to being the primary source of cash generation today, we see this segment providing significant expansion opportunity for Newpark, particularly benefiting from the tailwinds of energy transition and the ESG benefits associated with the expanding opportunity for plastics recycling.  We believe that leveraging our capabilities and investing in these growth opportunities, we will continue to transform Newpark. In the near term, we remain focused on the completion of our announced divestitures, which we believe will create meaningful liquidity that can be redeployed to create enhanced value for our shareholders, including share repurchases as well as investments into high returning growth opportunities.  And with that, I'd like to close by thanking our shareholders for investing in us and thanking our employees for their hard work and their continued focus on safety. We'll now take your questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] We have a question from Matt Dhane from Tieton Capital Management. Please go ahead. 
Matt Dhane: Great. That's Matt Dane from Tieton Capital Management. Wanted to ask, what type of RFP activity, are you seeing around International Fluids contracts here recently and have you want anything of substance that you'd like to discuss as well?
Matthew Lanigan: Yes. Thanks. Thanks, Matt. Look, I think, rather than getting into specifics at this point, which may not be appropriate. I think it's fair to say, from an RFP point of view, we're seeing the typical RFP flow and we're encouraged by -- we're encouraged by how those processes are moving forward. I think in terms of what we said in a commentary, particularly around energy security. I think those discussions while encouraging as sort of pre-RFP at this stage. And I would just add to that, you know that I think we're -- where you see the particular focus not unlike what you're seeing and just the broader headlines in the news, it's really the European community and areas around there where they really evaluating their energy security and you're seeing additional planning.
Matt Dhane: Great. Thank you, both. 
Operator: Thank you. That concludes our question-and-answer session. I would like to turn the floor back to management for closing comments. 
Matthew Lanigan: All right. Thank you once again for joining us on the call and for your interest in Newpark and we look forward to talking to you again next quarter. 
Operator: Ladies and gentlemen, that concludes this conference. Thank you for joining us. You may now disconnect your lines.